Operator: Good day, ladies and gentlemen. Welcome to the Big 5 Sporting Goods First Quarter 2022 Earnings Results Conference Call. Today’s call is being recorded. With us today are Mr. Steve Miller, President and Chief Executive Officer and Mr. Barry Emerson, Chief Financial Officer of Big 5 Sporting Goods. At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Miller. Please go ahead, sir.
Steve Miller: Thank you, operator. Good afternoon, everyone. Welcome to our 2022 first quarter conference call. Today, we will review our financial results for the first quarter of fiscal 2022 as well as provide an outlook for the second quarter. I will now turn the call over to Barry to read our Safe Harbor statement.
Barry Emerson: Thanks, Steve. Except for statements of historical facts, any remarks that we may make about our future expectations, plans, and prospects constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results in current and future periods to differ materially from forecasted results. These risks and uncertainties include those more fully described in our annual reports on Form 10-K, our quarterly reports on Form 10-Q, and our other filings with the Securities and Exchange Commission. We undertake no obligation to revise or update any forward-looking statements that maybe made from time-to-time by us or on our behalf.
Steve Miller: Thank you, Barry. We are pleased to report very strong first quarter earnings, which came in slightly above the high-end of our guidance and significantly ahead of any pre-pandemic first quarter in our company’s history. The foundation of our business remains very solid as we transitioned from a pandemic environment of the past 2 years. Our mix of diverse product categories continue to resonate with consumers seeking recreational opportunities and we continue to capitalize on shifts and demands through our nimble merchandising strategy. These core strengths of our model, coupled with improved operating leverage relative to historical rates are driving earnings to remain well above pre-pandemic levels. We have a strong balance sheet, which is highlighted by a healthy cash position and no debt. This provides us with great financial flexibility. As we look at our results on a year-over-year basis, it is important to keep in mind that for the first two quarters of this year, we are facing extremely difficult comparisons against last year’s record results when sales surged due to COVID-related factors. Given the unusual pandemic-related factors that drove 2021 results, year-over-year comparisons are highly distorted. We think that comparing this year to the pre-pandemic 2019 period provides more relevant context to evaluate our performance. And so we will compare results to 2019 today as well. In this year’s first quarter, many product categories performed very well, especially on a historical basis, even though we faced several headwinds, unfavorable winter weather, the Omicron surge, supply chain issues and inflationary pressures. Net sales for the fiscal 2022 first quarter were $242 million compared to net sales of $272.8 million for the first quarter of last year. Same-store sales for the first quarter were in line with expectations, decreasing 11.4% versus last year and were flat versus 2019. While everything starts with sales, as we look at our business, a key metric that we focus on is gross margin dollars, which reflects the combination of both sales and merchandise margins. Although our Q1 same-store sales were flat versus 2019, our gross profit dollars were up approximately 10% driven by the strength of our merchandise margins, which have been a huge contributor to our success over the last couple of years. Merchandise margins for the first quarter were up 119 basis points compared to Q1 of 2021 and up 461 basis points compared to Q1 of 2019. Looking at the rollout of the quarter, as we reported in our last call, the start of the quarter faced headwinds due to unseasonally warm and dry winter weather in our markets, along with the Omicron surge. Versus last year, January sales were down in the low 20% range, February was essentially flat, and March was down low double-digits versus a very challenging comp against March of 2021. As you may recall last year’s March sales benefited greatly from pent-up demand as COVID restrictions began to ease which allows the resumption – allowed a assumption of the in-person schooling in sports leagues, while stimulus checks were being distributed on a widespread basis. Comparing our sales to 2019, January was down low single-digits and February was down mid single-digits as 2019 benefited from extremely positive winter product sales driven by favorable winter weather. However, as we transitioned from winter to spring, our March sales were up mid single-digits versus 2019. Looking at the bottom line, our sales and margin performance, combined with strong focus on expense management, led to first quarter EPS of $0.41, which was more than 20% higher than in any pre-pandemic first quarter. Adjusted EBITDA was a healthy $15 million. Turning now to current trends. In this year’s second quarter to-date, most categories are performing well against pre-pandemic periods. We are particularly encouraged by the early rates in our summer seasonal products. And we believe our inventory is well-positioned to capitalize on summer seasonal demands. That said, historically April is a low volume month. And as always, the key to the quarter will revolve around the high volume periods of Memorial Day, Father’s Day, and the lead up to the July 4 holiday, which this year falls on the first day of our third quarter. The year-over-year comparisons remained challenging during the second quarter as we will be up against last year’s record sales that benefited greatly from a continuation of the strong pent-up demand following the easing of pandemic-related restrictions. For the quarter-to-date, same-store sales compared to last year are running down in the mid-20% range. However, compared to 2019, our quarter-to-date sales are running up approximately 10%. Taking a step back for a moment, over the last couple of years, our business has achieved unprecedented growth in the face of unprecedented challenges. As some of these challenges are now beginning to recede, our earnings results continue to significantly outpace historical levels. We certainly set the bar high last year. But keep in mind that we don’t need to beat last year’s results, produce another very profitable and successful quarter and year. We feel very optimistic about our ability to continue to capitalize on many of the recent drivers of our success including favorable product trends, expanded merchandise margins, and meaningfully reduced print advertising spend, coupled with more flexible purchasing and pricing. And perhaps more importantly, we have a highly experienced team that knows how to execute our model to drive results. I will now turn it over to Barry to provide additional details regarding our first quarter performance and second quarter outlook.
Barry Emerson: Thanks, Steve. As previously mentioned, our net sales for the fiscal 2022 first quarter were $242 million versus net sales of $272.8 million for the fiscal 2021 first quarter. Same-store sales decreased 11.4% for the first quarter of fiscal 2022 versus the comparable period in fiscal 2021, which represented our historical high first quarter sales. Same-store sales for this year were flat versus the pre-pandemic first quarter of fiscal 2019. Gross profit for the fiscal 2022 first quarter was $85.9 million compared to $97.9 million in the first quarter of the prior year. Our gross profit margin was 35.5% in the fiscal 2022 first quarter, which was down slightly compared to 35.9% in the first quarter of the prior year. The decrease in gross profit margin year-over-year primarily reflects higher store occupancy expense as a percentage of net sales partially offset by higher merchandise margins. Compared to the 30.9% gross profit margin we reported in the first quarter of 2019, our gross margin this year was up significantly due mainly to our success in driving higher merchandise margins. Overall, selling and administrative expense increased $5.2 million in the fiscal 2022 first quarter versus the prior year period primarily due to broad-based inflation, which particularly impacted employee labor and benefit related expenses. Also, expenses last year were reduced by $1.2 million mainly related to the elimination of an employment agreement liability. As a percent of net sales, SG&A was 31.1% in the fiscal 2022 first quarter versus 25.7% in the 2021 first quarter, reflecting a combination of higher expenses and lower sales. Compared to the pre-pandemic first quarter of fiscal 2019, SG&A expense as a percent of net sales this year was up approximately 150 basis points. Now looking at our bottom line, net income for the first quarter of fiscal 2022 was $9.1 million or $0.41 per diluted share. This compares to record first quarter net income of $21.5 million or $0.96 per diluted share in the first quarter of fiscal 2021, which included a previously reported benefit of $0.06 per diluted share. And once again, for added perspective, this year’s first quarter EPS of $0.41 compares to $0.08 that we generated pre-pandemic in the first quarter of fiscal 2019. Adjusted EBITDA continues to be very healthy and totaled $15 million for the first quarter of fiscal 2022 compared to $30.3 million in the first quarter of fiscal 2021. Turning to the balance sheet, our merchandise inventory at the end of the first quarter of fiscal 2022 increased 18.2% year-over-year reflecting more normalized inventory levels relative to sales, along with higher carryover of winter-related inventory, following unfavorably warm and dry winter weather in the first quarter. Most of the carryover winter inventory was fresh coming into the season and we feel confident in our ability to reintroduce it again next winter season. Compared to the end of the first quarter of fiscal 2019, our merchandise inventory this year was actually 2.6% lower. Excluding winter related inventory, our merchandise inventory was down over $20 million versus 2019 in part, because our reduction in advertising allows us to operate with reduced inventory compared to what we have carried historically. While SOT supply chain disruptions still persist, we generally feel good about our ability to source product and we believe our assortment is well positioned for the spring and summer seasons. Looking at our capital spending, our CapEx excluding non-cash acquisitions totaled $2.9 million in the first quarter of fiscal 2022. For the fiscal 2022 full year, we expect CapEx in the range of $14 million to $18 million, primarily representing investments in store-related remodeling, new stores, distribution center equipment, and computer hardware and software purchases. During fiscal 2022, the company expects to open approximately 4 stores and close approximately 2 stores. Now, looking at our cash flow, net cash used in operating activities was $23.7 million in the first quarter of fiscal 2022. This compares to positive operating cash flow of $42 million in the prior year period. The year-over-year decrease in operating cash flow primarily reflects increased funding of merchandise inventory. We ended the first quarter of fiscal 2022 with zero borrowings under our credit facility and a cash balance of $62 million, which compares to zero borrowings and $97.4 million of cash at the end of fiscal 2021. The change in cash was primarily due to higher merchandise inventory as I discussed a moment ago. In the first quarter of fiscal 2022, we repurchased 1.6 million of common stock under the company’s 25 million share repurchase authorization. Additionally, today, we announced that our Board of Directors declared a quarterly cash dividend of $0.25 per share. Now, I will spend a moment on our guidance. For the fiscal 2022 second quarter, we expect same-store sales to decrease in the high-teens compared to our record sales in the fiscal 2021 second quarter. As a reminder, reflecting strong pent up demand following an easing of pandemic related restrictions in many of our markets. Net sales in the 2021 second quarter were more than $82 million or 34% higher than in any pre-pandemic second quarter in our history. Compared to the 2019 second quarter, the company’s guidance range reflects an expected same-store sales increase in the high-single digit range. We expect fiscal 2022 second quarter earnings per diluted share in the range of $0.40 to $0.50, which compares to record earnings per diluted share of $1.63 in the second quarter of fiscal 2021. Although our net income for the second quarter is expected to be lower year-over-year, our EPS guidance for the second quarter would produce higher net income than in any of the pre-pandemic second quarter in the company’s history. That concludes our prepared remarks. Operator, we are now ready to answer any questions.
Operator:  Our first question is from Mark Smith with Lake Street Capital Markets. Please go ahead.
Mark Smith: Hi guys. First question for me, just wanted – first a housekeeping item, your tax rate was lower than expected here this quarter. What do you have built in for Q2 on a tax rate basis?
Barry Emerson: 26%, Mark.
Mark Smith: 26%. Okay. And then second, can you just talk margins look pretty decent from the merchandise margin perspective, talk a little bit about soft goods versus hard goods, maybe some of your different categories, different trends that you are seeing today?
Steve Miller: Sure. Mark, again, it’s very distorted looking at last year’s business, I mean. So, as a whole, our margins are strong relative to historical norm across all product categories hard goods, footwear and apparel, we are seeing tremendous strength, so, virtually, pre-pandemic period. So, as far as, we don’t get granular and talking specific categories, but it’s like, we have enough to go on Mark, what more can I tell you. I mean from a margin standpoint, our Q1 was 461 basis points ahead of what we achieved the prior years. So, with that said…
Barry Emerson: In 2019.
Steve Miller: And then in 2019.
Mark Smith: That’s fair. The last one for me is just looking at the inventory. It sounds like you guys have a fair amount of comfort with your inventory levels today. And it’s back to maybe a normalized level. But as we look at the inventory, is there anything besides maybe winter gear that you are going to carry over the next year that you feel is you have got plenty of or is maybe getting bloated all and then similarly, anything that you really just can’t get in stock today, that’s hurting sales by not being able to get in stuck?
Steve Miller: Well, I think as far as carry over product, I think right now from the seasonality standpoint, the winter is the one and only category that we really will have carry over into the next season, because it turned out to be a very disappointing winter season. Following a good start in Q4 of 2021, it turned very un-seasonally warm and dry over most of 2022. So, we do have a larger than normal carryover, not unprecedented. It’s very sad. The good point in that is that we can reintroduce this product. We own it at prices that are probably favorable to what we would have repurchased the product for, for the next season. So, we feel good about that. Supply chain issues still persist, though it’s still almost more than normal product coming late, rather than being on time. But our inventories are more normalized. From a historical standpoint and as a whole, we feel very good about being prepared for the summer season. So, as compared to where we have been, we are in a much better shape from a product standpoint.
Mark Smith: Any categories that you feel like are just holes that you just are not able to get or keep in stock?
Steve Miller: I mean it’s a little bit cyclical and we catch up and we fall – maybe fall behind. But we certainly miss some opportunity during the baseball season, because we were – our cleated product was very, very late in coming and certain other aspects of baseball. And with that we had a very solid baseball season versus historical norm. Again, you can’t compare to last year, because last year in the first quarter, there was no baseball until really the last two weeks. But I don’t know that there is any glaring holes in our inventory. Again, we may fall short at given times and then catch up just given that it seems more than norm than the not that product deliveries are a little bit late.
Mark Smith: Okay. That’s great. Thank you, guys.
Barry Emerson: Thanks Mark.
Steve Miller: Thank you, Mark.
Operator: Thank you. That concludes our question-and-answer session. I will now turn the call back to Mr. Miller for any closing remarks.
Steve Miller: Thank you, operator and thank you all for joining us in today’s call. We appreciate your interest in Big 5 Sporting Goods and look forward to speaking with you again after the conclusion of our second quarter.
Operator: Thank you. This concludes today’s conference. You may disconnect at this time. Thank you for your participation.